Operator: Good morning ladies and gentlemen, thank you for attending todayâs The Hartford Second Quarter Earnings Call. My name is Laquita . I will be your moderator for today's call. All lines will be muted during the presentation portion of the call, with an opportunity for questions-and-answers at the end.  I would now like to pass the conference over to your host, Susan Spivak, with The Hartford Group. Susan, please go ahead.
Susan Spivak: Good morning. And thank you for joining us today for our call and webcast on second quarter 2022 earnings. Yesterday, we reported results and posted all of the earnings related materials on our website. For the call today, our speakers are Chris Swift, Chairman and CEO of The Hartford; Beth Costello, Chief Financial Officer; and Doug Elliot, President. Following their prepared remarks, we will have a Q&A period. Just a few comments before Chris begins. Today's call includes forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These statements are not guarantees of future performance, and actual results could be materially different. We do not assume any obligation to update information or forward-looking statements provided on this call. Investors should also consider the risks and uncertainties that could cause actual results to differ from these statements. A detailed description of those risks and uncertainties can be found in our SEC filings. Our commentary today includes non-GAAP financial measures. Explanations and reconciliations of these measures to the comparable GAAP measure are included in our SEC filings as well as in the news release and financial supplements. Finally, please note that no portion of this conference call may be reproduced or rebroadcast in any form without The Hartfordâs prior written consent. Replays of this webcast and an official transcript will be available on The Hartfordâs website for one year. I'll now turn the call over to Chris.
Chris Swift: Thank you for joining us this morning. We are pleased to report another quarter of strong performance which demonstrates that our strategy and investments we have made in our businesses have established The Hartford as a proven and consistent performer. Core earnings for the quarter were $714 million or $2.15 per diluted share. Book value per diluted share, excluding AOCI, was $52.12, and our 12-month core earnings ROE was an outstanding 14%. During the quarter, we were pleased to return $577 million to shareholders through share repurchases and common dividends. With our outlook for continued strong financial performance and capital generation the board has authorized a new share repurchase program of $3 billion effective August 1, 2022 through year end 2024. Together our strategy, superior execution and prudent Capital Management demonstrate the Hartford's commitment to long term value creation through sustained profitable growth, continued investment in our businesses in return of excess capital to shareholders. We are producing excellent results in a very dynamic macroeconomic environment as we look forward to the second half of 2022. While there are some mixed economic signals, combined with geopolitical tensions, and fed policy uncertainty, the Hartford's continues to be well positioned to manage margins and returns successfully. As we all know, within the U.S., we are experiencing historic levels of inflation, which has resulted in accelerated monetary policy tightening. These conditions appear to be pushing the U.S. economy into a lower growth environment, or possibly a mild recession. However, this is occurring against the unique backdrop of low unemployment in strong corporate and consumer balance sheets. These conditions are very different from those that existed during 2008 when the recession was driven by credit imbalances across the economy, high unemployment, and heavily leveraged balance sheets. Hartford is also a very different company today. We have well performing businesses; enhanced capabilities, a diversified portfolio of P&C and Group Benefit products, and a stronger balance sheet, including a high quality investment portfolio. All of our businesses are competing effectively in their target markets with unique value propositions, anchored by the Hartford's brand and reputation. We have invested in new capabilities to deliver an exceptional customer experience while ensuring appropriate rigor in the management of claim outcomes, including the extensive use of data science and artificial intelligence. For our two largest and strongest performing lines, workers comp and disability, these enhanced capabilities have led to improve profitability over the years and give us confidence that even during an economic slowdown, we are well positioned to minimize the impact on Lost costs. Now, I'd like to share some highlights from each of our businesses, which illustrate how our strategy translates into consistent and sustainable financial performance. Overall, Commercial lines outperform with double digit top line growth and expanding margins in the quarter. There has been much commentary about written renewal rates versus loss costs trends and the impact of inflation. We have been disciplined and prudent in establishing loss picks for 2022. Our assumptions reflect loss trends in the aggregate of approximately 5%, excluding workers compensation, reflecting our overall business mix, which skews towards small business and middle market risks. Therefore, we have approximately 100 basis points of spread between written renewal pricing and loss trends. Stepping back, I am incredibly proud of what we've accomplished in small Commercial. Over the past decade, we have built a track record of consistent superior performance with underlying combined ratios below 90 as we grew the business to over 4 billion in annual premium. Our momentum in the marketplace is evident, with several consecutive quarters of record new business. The speed and accuracy and consistency we deliver to the market along with leading digital capabilities continue to outpace competitors. We are transforming our middle and large Commercial business into a specialized organization with broad product offerings and deep underwriting skills across industry verticals, which is driving growth, strong profit margins, and more consistent results. Our execution around data science, pricing segmentation in engineering has dramatically improved, which will help drive continued underwriting discipline, a more competitive lines of business, including workers compensation. In global specialty, results are outstanding, as we continue to maximize our expertise to gain market share. Our teamwork and cross selling activities have been phenomenal and continue to strengthen the franchise. Underwriting margins have improved materially over the last three years evidenced by our 85.5% underlying combined ratio through six months in 2022. These advantages are only getting stronger, as the market recognizes our product breadth, efficiency, and ease of doing business as key differentiators. In personal lines, the rollout of the new platform prevail platform continues and is beginning to show positive traction. However, higher inflation is impacting auto results and will require additional pricing actions. Doug and Beth will talk more about that shortly. But overall, from a strategic perspective, I am pleased with the progress we are making in personal lines. Turning to Group Benefits, core earnings were $161 million, with a margin of 9.8% reflecting a rapid recovery mortality in solid disability results. Long Term Disability trends are stable in within our expectations for incident rates and recoveries. On the top line, fully insured on-going premium was up 7% but in funding from strong persistency above 90% in sales of $204 million, nearly double the prior year quarter. The excellent sales results are primarily driven by the acquisition of new cases and strong enrollment, which reflects a combination of greater product awareness among employees and new enrollment capabilities we introduced over the last 18 months. We observed that both employers and employees are highly engaged on benefit offerings in light of a pandemic. Businesses are also increasingly focused on offerings that can help them attract and retain talent in a competitive labor market and at the same time struggling with growing complexities of regulation and compliance, including emerging state paid family leave mandates. This is an opportunity for us to demonstrate higher value through our expanded products and services as we continue to grow the business. Before I turn it over to Beth, we'll leave you with some concluding thoughts. I remain confident and excited about the future of The Hartford. Our businesses are performing well and have never been stronger. We are managing the investment portfolio prudently in our holdings are well balanced across a diversified asset classes. We have proven execution capabilities, and exceptional talent that drives my confidence in our ability to continue to produce superior returns in a dynamic macroeconomic environment. And finally, we are proactively managing our excess capital to be a accretive for shareholders. All these factors underpin my confidence of achieving ROEs of 13% to 14% for this year, in 2023. Now I'll turn the call over to Beth.
Beth Costello: Thank you, Chris. Core earnings for the quarter of $714 million or $2.15 per diluted share, reflects strong P&C underwriting results and premium growth and Commercial lines and group benefits as well as a reduction in pandemic impacts. In Commercial lines, core earnings were $544 million and reflect higher earned premium, improvement in the underlying combined ratio and lower catastrophe losses in the prior year period. Commercial lines reported 14% written premium growth, reflecting written pricing increases and exposure growth, along with an increase in new business and policy cat retention and small Commercial. The underlying combined ratio of 88.1 improved 1.3 points from the prior second quarter due to a lower loss ratio primarily in global specialty lines and improved expense ratio, partially offset by higher non catastrophe property losses in middle and large Commercial. In Personal Lines, core earnings were $21 million, and the underlying combined ratio was 94.1 reflecting increased auto loss costs. We continue to experience inflationary impacts on auto physical damage. We expected to see some moderation in severity trends and to date that has not been the case. Due to these trends and reduce optimism for improvement in the second half of the year, we expect to be a point or two above the high end of the full year personal lines underlying combined ratio range we guided to in February. To put that into perspective, one point is worth about $23 million or $0.07 per share after tax. Doug will comment upon the actions that we continue to take to get more weight into the book. P&C current accident year catastrophes in the second quarter were $123 million before tax, which is $5 million below the prior your period and well below our expectation for typical second quarter catastrophes. P&C prior accident year reserved development was a net favorable $58 million, with workers compensation being the largest contributor. Turning to group benefits; core earnings of $161 million and the 9.8% core earnings margin reflects a lower level of excess mortality losses and growth in fully insured premiums partially offset by an increase in insurance operating costs and a higher disability loss ratio of 66.3 compared to 64.2 in the 2021 period. This increase is primarily due to a lower risk adjustment benefit recorded in the quarter related to the New York paid family leave program. The long term disability loss ratio in the quarter was in line with prior year reflecting claim recoveries and a stabilization of claim instance. All cost excess mortality in the quarter was a benefit of $5 million before tax compared to $25 million of expense in the prior year quarter. The $5 million reduction included $90 million of excess mortality with days of loss in the second quarter, and $24 million of favorable development from first quarter 2022 claims. Turning to Hartford funds, due to equity market declines and higher interest rates daily average AUM decreased during the quarter to $137 billion, resulting in core earnings of $44 million compared to $50 million in the first quarter of 2022. Our investment portfolio delivered another strong quarter. Net investment income was $541 million benefiting from annualized limited partnership returns of 17.3%. Two Commercial real estate sales totaling $51 million in gains were material contributors to LP returns as was strong results from private equity, which is generally reported on a quarter lag. We've been very pleased with the performance of LPs in the first half of the year. Given the evolving macroeconomic outlook, in combination with a mix of Commercial real estate, private equity, and other Limited Partnership holdings, we anticipate that annualized LP returns in the second half of 2022 could trail our full year annualized target. However, we believe returns in total will be positive in the second half of the year. In the quarter, the total annualized portfolio yield excluding limited partnerships was 3% before tax. With the increase in interest rates and wider credit spreads, the portfolio reinvestment rate was 4.5%, which compares favorably to the average sales and maturity yield of 3.6%. As we have noted previously, net investment income will benefit from higher rates over time, and we would expect ex LP yields to increase 10 to 20 basis points during the second half of the year. Not surprisingly, the portfolio value was also impacted by higher interest rates and wider credit spreads. The unrealized loss position of approximately $300 million pretax at March 31, increased to an unrealized loss of approximately $2.4 billion at June 30. The investment portfolio of credit quality remains strong with an average rating of eight plus with insignificant credit impairments, and a small increase of 5 million to the allowance for credit losses for mortgage loans to reflect a growing book and the current economic outlook. So while interest rates and capital markets may remain volatile, we are confident that our high quality and well diversified portfolio will continue to support our financial goals and objectives. The confidence we have in our business's ability to generate free cash flow is also evidenced by our capital management actions. As Chris mentioned, yesterday, the board approved a new share repurchase authorization of $3 billion effective August 1 2022 through December 31 2024. This authorization is in addition to the existing authorization, which as of June 30 had approximately $450 million remaining. Our expectation is to complete the existing authorization this year, with the vast majority of the new authorization to be utilized in 2023 and 2024, subject to market conditions. In summary, we have had strong performance in the first six months of the year and believe we are well positioned to continue to deliver on our targeted returns. I will now turn the call over to Doug.
Doug Elliot: Thanks, Beth and good morning. The strength of the Hartford's property and casualty business was once again evident in the second quarter. Despite inflationary pressures and lower GDP, our broad product portfolio and specialized underwriting expertise positively impacted the quarter's financial results. Those two factors combined with our distribution, footprint and deep talent base position us well to maintain strong performance going forward. In Commercial lines, we achieved double digit written premium growth for the fifth consecutive quarter. Underwriting results were excellent with underlying margin improvement in small Commercial and global specially. Diving deeper into growth, Commercial Lines pricing was fairly consistent with expectations. Written pricing excluding workers compensation was 6.1% about a point lower than first quarter, but continuing to exceed last cost trends across most products. Workers Compensation pricing remain positive but declined slightly. Global specialty pricing markets were more competitive with written price at 5.5% off about two and a half points compared to quarter one. However, pricing in our wholesale book actually ticked up remaining in the high single digits. Notable contributions to an excellent Commercial top line quarter include strong policy retention across markets, our largest new business quarter ever for small Commercial at 201 million, solid new business levels and middle and global specially despite increasing signs of a more competitive market and strong audit premium from robust customer payroll growth. In total, I'm pleased with our growth profile across these components and confident we will continue our disciplined execution. Turning the lost costs, trends were largely in line with expectations. We continue to watch severity across our book, including social inflation, wage growth, supply chain pressures and commodity pricing. All-in our commercial book posted a very strong quarter in first half of 2022. Our small commercial team recorded an outstanding underlying combined ratio of 86.9 for the quarter. Since the first quarter of 2013, small commercial has achieved a sub 90 underlying combined ratio in every quarter except two, global specialties underlying combined ratio for the quarter was a stellar 83.1 their best results since the acquisition and middle and large commercial delivered a solid 92.9. There certainly has been a fair amount of discussion concerning the impact of future economic conditions on our industry, particularly workers compensation. From a top line perspective the data we watch our employment levels and wage growth, which together determine the payroll base for workers compensation. Shifting to the loss ratio, we're focused on the following key metrics; wage growth, which acts as a form of pricing with indemnity payment offsets, changes in worker tenure, which can impact claim frequency and the impact of inflation on medical severity. With respect to medical severity, we believe our long term view of 5% in both pricing and reserving is sufficient to cover the potential for increased severity above the benign trend we've experienced in the past few years. We are well positioned to address these trends head on. Our workers compensation extra year performance has been excellent over the past several years, and the balance sheet is strong. We have also built sophisticated pricing and risk segmentation tools, and expanded data analytics within the organization to successfully underwrite through different economic cycles. Let's switch gears and move to personal lines. Our second quarter underlying combined ratio of 94.1% reflects auto physical damage pressure driven by supply chain related inflation, elevated used car prices and wage increases. In the second quarter, these auto severity trends ran higher than we initially anticipated. Combined with normal seasonality in our book, the second quarter auto accident year loss ratio increased 5.7 points from the first quarter this year. The physical damage increase was two and a half points with the remaining delta normal seasonality. As Beth noted, we expect the continuation of inflation pressure in the back half of 2022 and have moved our original guidance up accordingly. We are pleased that our pricing actions initiated over the past few quarters are starting to take hold. Auto written premium price increases recorded in the quarter eclipsed 4%. Rate actions taken across 39 states in the first half of the year average 5.7%. In Home, overall loss costs were in line with both the first quarter and our expectations. Non-cat weather frequency, although higher than the prior year, continues to run favorable to long term averages, offsetting elevated large bar losses and material and labor costs which remain at historically high levels. We are also taken pricing actions in home with written pricing at 9% for the quarter. Given all these factors, I've remained pleased with both our year-to-date current accident year home loss ratio of 63.3% and combined ratio of 94.2%. Turning to Production, written premium growth was nearly flat with steady retention and new business growth of 5.6% in the quarter. We're seeing a significant increase in responses driven by our digital marketing programs, and increased consumer shopping in the 50 plus age cohort. With that said, I would characterize our personalized growth attitude as cautiously optimistic based on the current risk profile of the segment and the opportunities available in the market. Prevail is currently available in 16 states including launches of Florida in January, Texas in April and three more states this month. We have also launched expanded self service capabilities demonstrating our digital customer commitment in the space. Year-to-date prevail new business premium was 36 million with conversion rates at expectations, and we continue to be pleased with the quality of our new business. In addition, our redesigned telematic offering is available in 16 states and will be launched in additional states as Prevail rolls out. Our initial results, including consumer interest, online adoption and enrollment are all trending ahead of expectations. Summarizing this farm results for property and casualty, our commercial lines business maintain a double digit growth rate with exceptional operating margins and in personal lines, while auto severity is pressuring loss ratios, pricing actions are getting stronger and increasing contributions from prevail add to our momentum. As I wrap up my comments today, let me step back and provide a bit of perspective from my operating seat here at The Hartford. Neither we nor our competitors can control the external forces or economic trends that will occur in the future. However, we can control our preparation and our response to various likely or possible scenarios. I firmly believe The Harford has never been better positioned to aggressively take advantage of opportunities, while mitigating the downside risks. My confidence comes from our broadened product portfolio, responsive to solving broker and customer needs. The enhanced underwriting and deep analytic capabilities that deliver competitive advantages and lead to outstanding financial results, strength and technology and digital tools that have improved our competitiveness over the past 10 years. And an investor agenda that is cutting edge and as forward leaning as anything I see in the marketplace. In short, we have transformed the small business marketplace with our innovative and industry leading capabilities. And we are well on our way to achieving the same in middle market space. Global specialty is producing excellent results and will increasingly leverage the competitive tools built within our walls. And finally, Personal Lines is off to a good start with our cloud based product Prevail, which will be pivotal to our future. For these reasons and more, I am bullish about our ability to demonstrate strong execution capabilities in the years ahead. I look forward to our next update in 90 days. Let me now turn the call back to Susan.
Susan Spivak: Thank you, Doug. Operator, we're prepared to take questions.
Operator: Absolutely.  The first question comes from a line of Elyse Greenspan with Wells Fargo. You may proceed.
Elyse Greenspan: My first question is on capital, you guys took off the dividends that you expect from the P&C and the group benefits subs for this year. So should those higher expectations represent baseline or perhaps you could even come in above that we think about the dividends that you could take in 2023 and 2024, as we think about additional capital return from here.
Beth Costello: Yes, Elyse I'll take that. We did increase the dividends in P&C and group benefits. Just slightly, I would say the ranges that were providing, I was right, a good basis for thinking about things in the future. And I wouldn't at this point, point to an expectation of increasing will those will comment on you know, 23 and, and beyond when we get there.
Elyse Greenspan: Okay, so my second question on pricing, the 6.1% that you guys gave in commercial excluding workers comp. Is that pure rate? Or does that include exposure as it is pure rate? Could you give us the exposure piece as well?
Doug Elliot: Elyse, this is Doug. So the 6.1 is consistent with all our former pricing metrics over the last decade and includes an element of exposure that works against loss trends. So it is not complete exposure. But there's an element we call all other insurance included in that noted in our definition, the supplement. And that's about a point and a half overall.
Elyse Greenspan: Okay, thank you.
Operator: Thank you. The next question comes from the line of Greg Peters with Raymond James. You may proceed.
Greg Peters: Good morning, everyone. So the first question, I focus on your top line, and maybe more on the commercial side than the personal line side. But you're generating strong growth. And, there seems to be some concern in the marketplace that, this is as good as it's going to get. And so I thought maybe you could, and you did provide a lot of detail in your comments. But if you could give us a sense of how the market can sustain itself and you continue to generate these substantial growth rates, for the intermediate term. What you're seeing in market in your specific segments that'd be helpful.
Doug Elliot: Sure, Greg. Just a few thoughts to add to what I share to my script. Number one, the new business strength is evident across all our markets, particularly in small, as I noted, our first quarter over $200 million. I think that momentum will continue. And a lot of it is driven by some of the new products we've built over the past couple of years. Secondly, in small, you see that PIF count. So we're growing PIF count, not just a pricing audit premium dynamic. We feel very positive about our PIF count. We've talked to you about cross-sell in the past. So across the franchise we believe we're in a much better shape to handle a more complete set of customer challenges. So I love our complete piece there. And then as we've commented in the past, we are right now in a pretty positive spot relative to audit exposures as it relates to workers' compensation. So we do have some tailwind at us, particularly in middle and large commercial and also small commercial that's providing a little bit extra positive momentum in our growth. Beth, anything you or Chris want to add?
Chris Swift: I would just say Greg, I wouldn't underestimate Doug's point on cross selling, particularly with an expanded set of specialty products into small commercial into middle and large cooperation that we have as a team and really, the knowledge and confidence that our distribution partners are gaining in our broadened capability. So, Doug, I think you used the word bullish, which describes my tone equally, is that what we can continue to do in our in our commercial line space?
Greg Peters: Just a clarification on your answer. I mean, the success in this small commercial is obvious. When I think about in we're not in recession, but when I think about the potential depends on whose view you're talking about. But if we go into a bigger recession, I view that thereâs more risk on the small commercial side than the larger commercial side. But maybe I've got it sideways. Any comments on that?
Chris Swift: You mean, from a risk of economic slowdown?
Greg Peters: Yes. Which businesses might perform be more challenged in, if there's a slowdown?
Chris Swift: Well, again, I think we saw during the first phase of the pandemic there was a disproportionate amount of slowdown in small business, Doug. Whether we get to ever that point again, Greg, remember, I mean that was such a unique environment where the economy basically shut down. People weren't traveling; they weren't going out to small businesses. They weren't going out to restaurants. They just weren't -- they were hunkered down. So I think that's 1 extreme. And the other extreme is just particularly with inflation, people are going to have to think about disposable income differently and activities that could impact a certain level of small business, Doug, but I wouldn't see anything like what we experienced during the pandemic.
Doug Elliot: Chris, I'd only add that as we watch the indicators, new business starts the health of that, through the middle part of July, looks very strong still. Remind you, Greg, that the Fortune 1000, although an important segment, we are not out balance that direction. So, our portfolio runs across Middle, strong and middle, small, etcetera. And when I think about the labor market, there still seems to be high demand for top labor. So from a comp perspective, I'm still optimistic that as we go through the next several quarters, we will perform our products will be marketed. And I'm holding optimism as I kind of move into Q3.
Greg Peters: Got it? Just a second question I had was just around, Doug you comment about your inflation factors and the assumptions you're using? One of the numbers that you cited was I think it was medical severity, you said 5% compared with what was a benign trend to me, that suggests that there's a degree of caution in your inflation factors that you're using relative to what you're seeing currently. But I don't want to put words in your mouth, and it's clearly an area of focus of the street. So maybe you can add some more color to that. That's my last question.
Doug Elliot: Yes, so maybe just a few thoughts on last chat in general been a lot of discussion about it, and we're spending a lot of time here at the company. I mentioned a long term medical inflation ticker five. We've not moved off that for several years. Yes, we have seen some care of benign medical inflation over the last couple of years but our view is that through the longer period, it's prudent for us to hold those picks. And if you looked at our workers comp triangles, you've seen that we've been very steady, right? This quarter, we had some releases in comp, but really 2018, primarily and behind. So our 19 through 21 years are still holding them, we are watching to make sure that we've got all our calls in a row. I would also say to you that, the aggregate number by company, you've got to look at the mix of business, where we play where others mix by line of business. So we've got strong loss trend picks, and our excess casualty trends, trends that run from 9 to 13 property, commercial auto, so, our books does tend to mix a little smaller than some that we compete with. But I feel like we've got very solid loss trend picks in our across commercial and personal lines where we see something we address it like we did this quarter with personal lines. But, I think we have a prudent process that's been diligent and responsive to what we see in our last triangles. And we're pricing accordingly.
Beth Costello: I would agree. And back to the specific question, again, Greg that you had a medical inflation index is that we just we haven't changed that long term view. So the fact that we're saying 5%, compared to what has been benign in the last several years that's not new, and not reflective of a change and how we think about that trend.
Greg Peters: It's good detail. Thank you.
Operator: Thank you. The next question comes from a line of Brian Meredith with UBS. You may proceed.
Brian Meredith: Yes, thanks. Just following up with a little bit, I'm wondering if you could tell us where that 6.1% written premium stands versus kind of what your current trend and expected trend assumptions are. And in that context, you believe that most your book kind of is rate adequate. But particularly when I look at the middle and global specialty business.
Doug Elliot: Yes Brian, I think Chris commented in his earlier remarks that we think we're about 100 basis points on top of our call for loss trend in 2022. So that's where we sit relative to the 6.1. We consistently look at that. You can imagine this is an evolving item. But really, as I commented, our loss picks for the year our loss trends for the year, haven't moved a lot in commercial over the past two quarters. They've moved in personal but we're watchful that and we're particularly careful in terms of the potential recession that may be in front of us, but we'll wait and see and make those calls as conditions change.
Brian Meredith: Yes, I'm sorry, maybe what I meant is that, the 100 basis points or her crew saying, is that better or worse than kind of what you're currently seeing right now. I understand this, what you're pricing for and what you're actually seeing in your book right now.
Doug Elliot: I think that's basically what we're seeing right now. I would call that up a pretty dynamic view as of today. Brian.
Chris Swift: That's the spot view as of June 30 Brian.
Doug Elliot: Yes, it's the written view. So I'll give you a written current view of pricing and a view of the last run. Yes.
Brian Meredith: Got you. Got you. Makes sense. And then just quickly on the personal auto severity. I wonder if you could drill in a little bit more into that, what's going on there. Another company talked about an issue with respect to late paying claims, meaning it's taking a lot longer to actually get claims paid out and that, that's created some issues with respect to inflationary factors affecting your PD part of your auto. Are you seeing similar type of stuff?
Doug Elliot: Well, we certainly have been watchful of courts coming out of the recessionary period, 2020 and 2021. So I would say that it's a high watch area. But in terms of our triangles, I don't think we're seeing any data that is surprising to us. What we are dealing with at the moment is a is dam environment, used car, labor and other issues that has caused us to change our picks. And we've changed them obviously appreciably in the second quarter, and we'll watch what happens in the third quarter, which is why we moved our guidance, Brian.
Chris Swift: But the time to repair, Doug, from a supply chain side is extended. So it means potentially rental cars being rented longer. I don't have the exact number of days in front of me that we've extended out the time to repair a car, Brian, but it is extending.
Brian Meredith: Got you. Thank you.
Operator: Thank you. The next question comes from the line of David Motemaden with Evercore. You may proceed.
David Motemaden: Hi, thanks good morning. Just a question on the specialty underlying combined ratio improvement in commercial lines. Could you just talk about how much the 7 point year-over-year improvement was coming from the expense ratio versus the underlying loss ratio? And then maybe just comment if this is a full underlying combined ratio to think about going forward.
Doug Elliott: Yes, David, let me start. I think annually, the 7 point change is roughly 4-ish points of loss and 3 points expense. I thought you were going to ask about the quarter 1 versus 2. I think that in quarter 1, we had some risks relative to Russia-Ukraine that we booked losses for us. So that really does explain the 2022 roll between quarter 2 and quarter 1, but I shared with you the 4 and 3 components of the 7 from last year.
Q - David Motemaden: Got it. And yes, it's definitely lower than where we've seen over the last 5 or 6 quarters. Is that a -- and obviously, there's been rate earning in excess of trend. Is that a level the 83% to kind of think about going forward? Is there anything one-off that's flattering that?
Doug Elliott: I don't feel one-off at the moment. I do feel very pleased about the progress we've made. It's a result of not only aggressive and sustained pricing over the last couple of years, but also underwriting actions. We've been taking underwriting actions throughout our book internationally and domestically. So I'm very pleased about all of that. I do feel like that specialty business should sustain and have significant profit contributions to our company, and we expect that to continue, and we hope to grow that business and become a bigger part of our franchise over time.
Chris Swift: David, I'd remind you that specialty book is almost approaching $3 billion, and it's a diversified book of D&L I would say some surety on London exposures, casualty. So yes, I'm really proud of what the teams worked hard at over the year since we acquired it. And it feels gratifying that from a strategic point of view, it's performing at this high level.
Doug Elliott: David, I'd add just maybe 1 other thought over the last three years. We spent a lot of time on integration and feel good about that progress. We have pivoted over the last six months and are now working harder on data analytics. So the work relative to data science and analytics and how we evolve those pricing models and beat in the marketplace. Those are some of the reasons that I have optimism that we will continue to be an excellent top-tier player in specialty. And so I think our future is bright there, and I really believe we're just getting started.
David Motemaden: Got it. I appreciate that color. And then for my follow-up, so you gave us the approximately 5% loss trend. That was excluding -- What is it -- if you include comp? Just out of curiosity, I know you said 5% for severity, but that doesn't include the frequency on comps. So yes, I guess just what was the -- what is the loss trend that you guys are picking to if I just include workers' comp within Commercial Lines?
Doug Elliott: Yes, David, we don't share that number. But you're right, it would be down slightly. And then that comes to our frequency call on comp, which we don't share externally. But we talked about it, it's been very, very moderate. In fact, over the past couple of years, we've had extended periods of negative frequency. So that's too much data to share with a couple of our competitors, but our book continues to perform. We watch frequency carefully. I think our calls are appropriate, and it's a line that we know well and we'll continue to compete effectively over time.
David Motemaden: Okay. Thatâs great. Thank you.
Operator: Thank you. The next question comes from the line of Michael Phillips with Morgan Stanley. You may proceed.
Michael Phillips: Thanks, good morning. Similar question on the other segment in commercial lines. The middle and large commercial was the only segment there that had a little bit of it arose in your core loss rate, our core combined ratio and a little bit of uptick sequentially the last few quarters. So I guess is there anything there in the rate or trend dynamics or anything else kind of one-off that would account for that?
Doug Elliott: Yes. Mike, in the quarter, we did have a one-off and had a large property loss and some reinsurance reinstatement associated. So that was the cause a couple of points inside middle just from that one loss. I think those things are episodic. They happen over time in the property space, nothing at this point more than that.
Michael Phillips: Okay. Great. Thanks. And then I guess, back to comp you took favorable development. You guys feel you're very conservative in your current reserves. But I guess we can hone in on 2020, the 2020 accident year for a second. That year still has the highest loss pick of any surrounding years. And a large part of that is because of your IBNR piece. So I guess I'm curious, is there a severity issue you're worried about for those -- for that year, given what's happened during COVID? Or is there something else that makes you a little more concerned or maybe just cautious I don't know the level you've taken development in 2020 accident year, but claim counts are down significantly to 20%, 30% in that year, yet your reserves are still pretty strong. So maybe it's just extra conservatism, but is there anything else that maybe makes you a little cautious on that at there? Thanks.
ChrisSwift: Well, Michael, it's Chris. I appreciate the question, and I'll ask Beth to add her color in a minute. But yes, I think that's been our consistent philosophy of trying to be prudent with reserves and picks and I think we've used the phrase over the years let it season and obviously release any benefits that occur. So I would just say it's a natural process. But particularly during the COVID years, we were very sensitive to any known unknowns or no unknowns depending on how you want to think about it. But yes, Beth, I feel good about the overall balance sheet and particularly the comp line. Don't you?
Beth Costello: Yes, I would agree. And as we look again specifically at the 2020 year, obviously a lot of distortion because of COVID. And so our view is to be cautious. And as Chris said, let those years season a bit before we make any adjustments.
Michael Phillips: Okay. So just to clarify, are you not seeing any higher severity kind of average severity claims that exist in that year? Or is it more of kind of waiting to see that maybe there could be late reported claims or just general cautious?
Chris Swift: I think you characterized it right. It's just -- it is an app pattern year, and we're just being generally cautious until it fully seasons to our judgment.
Michael Phillips: Okay, thank you. That holds.
Operator: Thank you. The next question comes from the line of Paul Newsome with Piper Sandler. You may proceed.
Paul Newsome: Good morning. I was wondering to ask you a little bit on the personal lines side, you are obviously raising rates like most are. Any pushback you're seeing that's different than normal from the regulators in terms of getting rates. We've seen a lot of press suggesting that some states are pushing back.
Doug Elliott: Well, I think that that's a fair comment. I also would say that we are very effective relationships with all of the states. So it's an active process. It's actually been an active process, as you know since the third quarter of last year. I'm encouraged by the momentum. I think as we move through the next two quarters, that momentum will continue to pick up and quite bullish about what we're going to see in the supplement in Q3 and Q4, so encouraged about that. But yes, there are lots of things that we manage our way through state by state, and I think it's just part of the process.
Paul Newsome: And then maybe to beat a dead horse a little bit. Any further thoughts on kind of social inflation and some of the -- there are some movements in reserves and general liability, and we had some companies missed their financial for example, with excess casualty issues, large losses in casualty. And I was wondering if you're seeing anything of that nature and maybe how we should be more confident in the accident loss picks for liabilities not necessarily going up.
Chris Swift: Paul, I'll start and then Doug and Beth can add their commentary. I think we've commented in the past on social inflation that it's not a new phenomenon. We've had many years of experience, particularly with mass torts and some of the claims that we had to deal with. We got a world class claims organization that has got a deep, deep expertise in handling casualty exposures of this sort. But yes, as the courts reopen, we do believe that there will be at least a clearing of the existing inventory and we'll have to see what trends emerge at a point in time. I don't think there's any new trends as we sit here today that we're really, really concerned about. We've talked about some of our reviver status issues or  issues that we think we've put behind us. But jury awards are going up. No doubt about it. It's clear in our data. That's why when Doug talks about casualty loss picks in the 9% to 13% range we're trying to be prudent and reflect what we think is continued activity of just larger awards. But Doug but, as we sit here today there's nothing new coming out of our book at this point in time.
Beth Costello: Yes, I would agree with that comment. Overall, I mean, we did increase slightly from prior year reserves for general liability. But it was really just a handful of, I would call them, one-off losses that as we made our final judgments for the quarter, thought that it was prudent to book a bit more in those lines as a percentage of the overall carried reserves in those lines, very, very small. So again, not indicative of a trend that's different from what we've seen, just wanted to be cautious, as I said as we closed out the quarter.
Paul Newsome: Great. Thank you and congratulations on the quarters result.
Operator: Thank you. The next question comes from the line of Josh Shanker with Bank of America. You may proceed.
Joshua Shanker: Yes, thank you for taking my question. The first is the first quarter since 1Q 2016 where you didn't lose any auto policies net, and that's a good accomplishment. Although it could also mean that your pricing is more attractive to a consumer right now than a lot of opportunities in the marketplace. To what extent have you secured the customer group you want in your personal lines business that they have a stickiness that you can raise prices on that that will stay? And to what extent do you think that even though you have to put more price than through, so you're not particularly disadvantaged on the pricing side at this moment?
Doug Elliott: Josh, a very insightful question. And I can just share with you, given our new platform, the metrics and analytics that we're watching flow, where we're winning, quality of the book, had a whole series of diagnostics laid out in terms of expectations going in state by state. We're watching that match week by week. So I can tell you it's an exhaustive process. Everything we can see, we look like we expected and hoped to look. So again, I think it was a really good question and something that we take seriously and working our tails off out here.
Joshua Shanker: Okay. And then in the prepared remarks, Chris spoke about some new technologies you have on the benefit enrollment platform to increase enrollment and whatnot. To what extent are these unique offerings in the market? And to what extent can you leverage them to gain share with employers?
Chris Swift: Thanks, Josh. Yes, we have rolled out some new capabilities to have a better enrollment experience. Again I think a lot of the things that we do across the organization we think we're leading the way. But we know it's a competitive marketplace and a lot of fast followers that can replicate new things that come to the market, Josh. But as evidenced by our strong earned premium growth, I think the group benefit, the better days of group benefit are still ahead of it as far as a real need for the products that we offer and particularly some of the voluntary offerings we have of medical supplement, critical illness, accidental activities are really increasing and those carry strong profit margins for us. So I think that the whole equation is coming together and then our continued investment in our broad based digital capabilities and I feel really good about where we're positioned today, Josh.
Joshua Shanker: Very well. Thank you for the color. Appreciate it.
Operator: Thank you. The next question comes from the line of Tracy Benguigui with Barclays. You may proceed.
Tracy Benguigui: Good morning. I also have some top line questions. You showed nice growth in small commercial. And as the economy is reopening, I'm wondering if these new businesses lack operating history and its risk that typically reside in the E&S market?
Doug Elliott: Tracy, I would suggest to you that we're watching claim intake by segment for maturity of worker. We are expanding and have worked at expanding our appetite in small. We do have an excess and surplus offering. But I don't think our book is trending to E&S. I still think it is very high quality. We've got a series of metrics that help us score our book. And so from every angle that we can see and evaluate, I think we have an outstanding book of business. But yes, in general, we are now pushing ourselves outside of what I might say would be a historically conservative risk appetite, Chris, to a little more bold, and maybe bold is too aggressive a word. But certainly, we're looking at other cells where we've not competed aggressively in history, and I think you'll see us with product in that space.
ChrisSwift: Doug, I would also observe, given our monthly reviews we do together, we're doing it thoughtfully. We're doing it with a primary product. We're also adding more global specialty product particularly, I would say, the E&O capabilities into a small. So yes, Tracy, we're trying to trying to be the most relevant player in the small business segment as we can be and maintaining our discipline and profitability focus.
Tracy Benguigui: Excellent. That's great feedback. I also had a question on the auto pit flat sequentially. I'm wondering, are you looking at the policy life cycle where maybe right now, you're not earning an adequate return, but you feel good about the businesses three, four years from now, you could earn acceptable return. And to what extent it's prevail playing into that discount? Is it material yet?
Doug Elliott: Yes, the life cycle component is a heart of our process for sure. So we're looking at current rate adequacy. We're also looking at our retentions and our profiles of customers. So I would agree with you that policy life cycle profitability is something that is an important part of that measure.
Tracy Benguigui: And the Prevail piece is that maybe dampening the  decline?
Doug Elliott: Yes. Consistent.
Tracy Benguigui: Yes. Okay...
Doug Elliott: Yes, I would say that Prevail would be adopting some of those best practices that we've used historically in our personal lines pricing.
Chris Swift: Tracy, Prevail is -- platform, right? It's the platform, it's the products, it's the digital capabilities that we're bringing to the market. But remember our book of business in auto and home, we've enjoyed $3.5 billion of premium over the years so that lifetime cycle that you're talking about is deeply embedded into our capabilities and how product season, how customers green. Remember, we have more flexibility today with Prevail because we have no lifetime guarantees so that the funnel that we had open for new business in the old days when we have lifetime guarantees, needed to be very restrictive because you in essence, we're marrying that customer for potentially a long time. So the flexibility we have with Prevail is dramatically different, but the methodology in our thinking, Doug, is very consistent.
Doug Elliott: And I would add Chris, six month policies, too right? We had much more flexibility to deal with changes in the event that we make adjustments to our strategy.
Tracy Benguigui: Yes, I'm sorry I guess I was referring to the non-AARP as you're trying to market that demographic, right?
ChrisSwift: No, not at this time. I mean, our core focus is ARP members. We do have some small agency business. It's very small, but it's still accretive to the organization. But the main focus, Doug, is been on serving a broader segment of AARP members, particularly 50 to 65 year olds that we're deeply partnered with the AARP organization in growing that membership base.
Tracy Benguigui: Got it. Thank you.
Operator: Thank you. The final question comes from the line of Alex Scott with Goldman Sachs. You may proceed.
Alex Scott: Hey, thanks for taking me at the end of the call here. First one I had is on net investment income. I mean, certainly it was a good quarter. If I set aside the LPs, just noticing the yield was more or less flat year-over-year. And so I was just interested if you could provide any color around sort of where new money yields are and if there's anything we should be considering about how that may start to trend up.
Beth Costello: Yes, Alex, thanks for the question. So as I said we do anticipate to see the yield ex-LPs to continue to increase. I may have you look at some of the details that we have in our investor financial supplement that show you some of the other lines besides just fixed maturities that contribute to that. So we do have some equity funds that had albeit small negative marks this quarter, but that also impacted the compare year-over-year. But when I look at just the fixed maturity yield, we are seeing the pickup as, again, new money yields are outpacing what we're seeing from a sales and maturity perspective.
Alex Scott: Got it. And then on group benefits, is there still pressure at all that you were feeling this quarter on the expense side. I just -- that's been elevated with handling so many claims and so forth. Is that more or less wound down at this point? Or anything I should be considering around the expense base as we move forward, hopefully, with maybe less elevated claims?
Chris Swift: Yes. I think that claim comment you made, Alex, is the key. We're probably -- we are carrying excess staff to remain cautious if there's another surge of COVID. Obviously, we're dealing with obviously very good mortality trends. But particularly in our STD book, we are carrying excess capacity just to see how things play out for the fall in the winter season. And then I would also say that -- so that's a temporal item you could characterize. But the increase in IT spend particularly in digital and some of the other things that we're investing in is also evident in there. That's probably for the next couple of years, there's a couple of big projects that we want to complete in that area. So the IT spend might remain elevated. But as we grow our top line, though, we do have expectation that expense ratios will start to moderate and improve as we grow. But where we're at for the first six months of the year, I think, is a pretty good full year run rate.
Alex Scott: Got it. Thank you.
Operator: Thank you. I would now like to pass the conference on over to the management team for any closing remarks.
Susan Spivak: Thank you all for joining us today. And as always, please reach out with any additional questions. Have a great day.
Operator: That concludes The Hartford second quarter earnings call. Thank you for your participation. You may now disconnect your lines.